Operator: Good day, everyone, and welcome to the Doximity Q4 2025 Earnings Call. At this time, I will hand the call over to Perry Gold, Head of IR. Please go ahead, sir.
Perry Gold: Thank you, operator. Hello, and welcome to Doximity's Fiscal 2025 Fourth Quarter Earnings Call. With me on the call today are Jeff Tangney, Co-Founder and CEO of Doximity; Dr. Nate Gross, Co-Founder and CSO; and Anna Bryson, CFO. A complete disclosure of our results can be found in our press release issued earlier today as well as in our related Form 8-K along with a copy of our prepared remarks, all available on our website at investors.doximity.com. As a reminder, today's call is being recorded and a replay will be available on our website. As part of our comments today, we will be making forward-looking statements. These statements are based on management's current views, expectations and assumptions and are subject to various risks and uncertainties. Actual results may differ materially and we disclaim any obligation to update any forward-looking statements or outlook. Please refer to the risk factors in our annual report on Form 10-K, any subsequent Form 10-Qs and our other reports and filings with the SEC that may be filed from time-to-time, including our upcoming filing on Form 10-K. Our forward-looking statements are based on assumptions that we believe to be reasonable as of today's date, May 15, 2025. Of note, it is Doximity's policy to neither reiterate nor adjust the financial guidance provided on today's call unless it is also done through a public disclosure such as a press release or through the filing of a Form 8-K. Today, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A historical reconciliation to comparable GAAP metrics can be found in today's earnings release. Finally, during the call, we may offer incremental metrics to provide greater insights into the dynamics of our business. These details may be one-time in nature and we may or may not provide updates on those metrics in the future. I would now like to turn the call over to our CEO and Co-Founder, Jeff Tangney. Jeff?
Jeff Tangney: Thanks, Perry, and thank you, everyone, for joining our fourth quarter earnings call. We have three topics today. Our financials, network growth and client summit recap. First, our top line. We delivered $138 million of revenue for the fourth quarter of our fiscal 2025, 4% above the high-end of our guidance range. For our full fiscal year ended March 31, we had $570 million in revenue and grew 20% year-on-year. Of note, our top 20 clients who know and measure us best once again grew the fastest at 23% in fiscal 2025. Our bottom-line was also strong in Q4 with an adjusted EBITDA margin of 50% or $70 million, which was 10% above the high-end of our guidance. Our free cash flow was stronger still at $97 million, up 56% year-on-year. For the full fiscal year, our adjusted EBITDA grew 36% to $314 million. Our adjusted EBITDA margin was 55% for the year, up from 48% the prior year. We generated free cash flow of $267 million, an increase of 50% year-on-year. Okay. Turning now to our network growth and engagement. Our unique active users on a quarterly, monthly, weekly and daily basis all hit fresh highs in Q4. This growth was again led by our newsfeed, which is both our most used and most monetized product. Our unique newsfeed users hit record highs last quarter, while our articles read or tapped were up more than 30% year-on-year. Our workflow tools also hit fresh highs in Q4 with over 620,000 unique active prescribers. As a reminder, our workflow tools include our telehealth, fax, scheduling and AI tools. Our AI tools grew the fastest again last quarter, up more than 5x year-on-year. In short, as the practice of medicine grows both more mobile and more AI powered, we're proud to be leading the way. Okay. Turning now to our recent physician and pharma client summits. In March, we hosted our 13th Annual Physician Tech Summit in San Francisco. It was great to roll-up our sleeves for two days alongside 150 of our nation's most tech-savvy doctors. For the third year in a row, our Doximity GPT products took center stage. Physicians love our specialty specific AI tools and HIPAA-secure environment, and we're learning a lot from their real-world use. One popular new feature is our ability to upload and securely analyze documents. Per a recent JAMIA study, a fifth of ER patients nowadays have medical records that are lengthier than Moby Dick. So for a specialist treating a new patient, it can literally take hours of reading to fully come up to speed. But with Doximity GPT, they can just upload the patient's file and our AI can chart the patient's lab values over-time, summarize key clinical findings or search for complex diagnostic clues. It's a long overdue cure for what physicians affectionately call note bloat. In a short couple of years, we've seen AI tools like this truly change the mood in medicine from AI leery to AI cheery. For the first time in over a decade, there's genuine hope that physician burnout and information overload can actually be eased with technology. We are incredibly proud and motivated to help crafting AI tools that just work for busy clinicians. This is our mission and our roots as a team. Following our physician summit last month, I have personally shifted my focus from our client portal to our clinical AI products. Speaking of our client portal, the rollout is going very well. The majority of our pharma clients now have access and they love tracking their day-to-day results and ROI. These daily portal insights are also fueling client interest in how our new AI powered integrated offerings can help them automate their programs. This AI orchestration was a key theme at our Annual Pharma Client Summit in New York last week, where we were joined by over 40 marketing leaders from the world's largest pharmaceutical companies. Their top request was to use our AI to optimize their programs at a more strategic level. By giving us more latitude to select the right content at the right time for each doctor, we've been able to improve our clients results along with our own revenue and predictability. Okay. I'd like to end by thanking my Doximity teammates who continue to work incredibly hard to care for those who care for us. As AI assisted medicine becomes a reality, our future has never been brighter or more exciting, and I'm proud to be on this journey with you. And with that, I'd like to hand it over to our CFO, Anna Bryson, to discuss our financials and guidance. Anna?
Anna Bryson: Thanks, Jeff, and thanks to everyone on the call today. Fourth quarter revenue grew to $138.3 million, up 17% year-over-year, exceeding the high-end of our guidance range. Full year revenue grew to $570.4 million, up 20% year-over-year. As a reminder, fiscal 2025 revenue benefited from our strategic shift to more multi-module integrated offerings. This not only drove larger deal sizes, but also enabled a greater share of annual programs to launch in January. Transitioning to these more efficient launch timelines contributed to a few points of revenue growth upside in fiscal 2025. Similar to prior quarters, our existing customers continued to lead our growth. We finished the quarter with a net revenue retention rate of 119% on a trailing 12-month basis. For our top 20 customers, net revenue retention was higher at 123%, so our biggest, most sophisticated customers remain our fastest growing. We ended the quarter with 116 customers contributing at least $500,000 each in subscription-based revenue on a trailing 12-month basis. This is a roughly 17% increase from the 99 customers that we had in this cohort a year ago, and these customers accounted for 84% of our total revenue. Turning to our profitability, non-GAAP gross margin in the fourth quarter was 91%, flat versus the prior year period. For the full fiscal year, non-GAAP gross margin was 92% versus 91% last year. Adjusted EBITDA for the fourth quarter was $69.7 million and adjusted EBITDA margin was 50% compared to $56.4 million and a 48% margin in the prior year period. For the full fiscal year, adjusted EBITDA was $313.8 million and adjusted EBITDA margin was 55% compared to $230.5 million and a 48% margin last year. We are proud to continue to run a very profitable business with 36% year-over-year growth in our bottom-line. Now turning to our balance sheet, cash flow and an update on our share repurchase program. We generated free cash flow in the fourth quarter of $97 million compared to $62.3 million in the prior year period, an increase of 56% year-over-year. For the full fiscal year, we generated free cash flow of $266.7 million compared to $178.3 million last year, an increase of 50% year-over-year. We ended the year with $916 million of cash, cash equivalents and marketable securities. During the fourth quarter, we repurchased $26.8 million worth of shares. For the full fiscal year, we repurchased $116.2 million worth of shares at an average price of $33.73. As of March 31, we had $424 million remaining in our existing repurchase program. Now moving on to our outlook. For the first fiscal quarter of 2026, we expect revenue in the range of $139 million to $140 million, representing 10% growth at the midpoint. And we expect adjusted EBITDA in the range of $71 million to $72 million, representing a 51% adjusted EBITDA margin. For the full fiscal year, we expect revenue in the range of $619 million to $631 million, representing 10% growth at the midpoint. And we expect adjusted EBITDA in the range of $333 million to $345 million, representing a 54% adjusted EBITDA margin. Now, I'll provide more color on our outlook. As mentioned above, fiscal 2025 was a strong year of strategic progress for us. Our new multi-module integrated offerings allowed many of our customers to get their annual programs live in January. While we expect these earlier launches to be the norm going forward, fiscal 2025 received the benefit of being the transition year, leading to a few points of revenue growth upside. This dynamic creates a tougher year-over-year comparison for fiscal 2026, which is reflected in our expected revenue growth rate. Long-term, we believe these more efficient January launches are a meaningful step forward for our customers and our business. These earlier launches allow our customers to maintain an uninterrupted presence on our platform, which helps drive ROI. As customers realize higher returns, we expect this will translate into even greater investment on Doximity over time. As far as visibility, as of today, we have just under 70% of our initial subscription-based revenue guidance under contract. We expect the pharma HCP digital market to grow at roughly 5% to 7% again this year. While we have not yet seen any impact to our business from recent macro uncertainty, we believe it's prudent to assume the market growth rate could be on the lower end of this range, which is reflected in our guidance. That said, we believe our pharma business will maintain its strong competitive position and grow at roughly twice the market rate, remaining our fastest growing business in fiscal 2026. Between client portal insights, integrated program traction and record physician engagement, we believe we are set-up for another year of meaningful share gains. Finally, we are excited to increase our investments in AI this year. These investments will help us build better tools for our members, develop smarter solutions for our clients and drive greater efficiency across our entire business over the long-term. We believe we are in the early innings of realizing AI's full potential at Doximity, and we couldn't be more excited for the future. With that, I will turn it over to the operator for questions.
Operator: [Operator Instructions] And we will take our first question from Brian Peterson, Raymond James.
Brian Peterson: Thanks for taking the question and congrats on the strong 20% growth this year. Jeff, I just wanted to start out on the macro. I know you guys mentioned that you haven't seen any impact as of yet, but how are your customer conversations in terms of their willingness to spend this year? And as they're thinking about this volatility that we're seeing from this administration, any perspective on where their heads are?
Jeff Tangney: Great, Brian. Yeah, thanks. This is Jeff. Yeah, as we said in our prepared remarks, we have not seen any signs of a market slowdown yet. But given the material policy uncertainty, we are assuming that there will be. That said, just having gotten together last week with 40 of our biggest clients, which was the best turnout we've ever had at our pharma advisory board. I'd just say there's a lot of excitement about AI there as well. I'd say they are also AI cheery, just like doctors are. And as we said in last quarter's call, the clients that buy our AI optimization were growing at double the rate of the other clients on average. So we're excited about their AI cheeriness as well. It's interesting, and the way that they're starting to do their work is actually starting to change. So it used to be that for their legal review, they would come in with one version of an article and just do that in a word document and red line it and improve it once. Now they're coming in with spreadsheets full of different options, variations and that's exciting because that allows us to build this library that the AI can then go choose and see what's performing best and optimize their results in real-time, which we're seeing meaningful gains from doing. So again, our AI cheery clients are feeling good about leveraging this. The other new thing that they liked at our Pharma Advisory Board last week was our portal just continues to evolve and get smarter and teach them more. One new feature we've added this quarter is the ability to see what percent of their targets are what they call no-see physicians, that is doctors that no longer see reps, which is roughly half of all US doctors, or actually some say three out of every five. But that allows them to go as they look at their ROI and their analyses and then claim more credit as marketers relative to sales people because they're able to look at these doctors that they know the reps aren't getting in to see. So I'd say the overall mood was cautiously optimistic among our pharma clients, but you're right, there is this big cloud of I think policy uncertainty that I think we're all assuming will continue to be there this year.
Brian Peterson: Thanks, Jeff. And Anna, maybe one for you. You called out some AI investments in fiscal year '26. How should we be thinking about the payback period on some of these investments, understanding it's early days, but I do get the question a lot from investors on kind of the broader monetization of AI. So is there anything that you can add there? Thanks, guys.
Anna Bryson: Yeah. Thanks for the question, Brian. And as we've mentioned before, we're still in the early stages of learning how AI could make our business more efficient over time and then we're also still in the early stages of investments here. So when we think about longer term margins and how AI could impact our margins long-term, we also have to take into account other considerations such as what further efficiencies we might see from our client portal or what further efficiencies integrated programs might bring to our business. So it's too soon to know exactly what that more medium to long-term margins could look like for us. But we feel really good once again about guiding to two years in a row of 50% plus adjusted EBITDA margins. And as we've talked about before, especially with the margin expansion we saw this year, we're already seeing our AI investments pay-off. We're still going to continue to make more, but we have been able to scale our business without sufficient additional headcount over the last year, which I think has been a big proof point that AI is already working for us as a business.
Brian Peterson: Thanks, Anna.
Operator: Our next question comes from Michael Cherny, Leerink Partners.
Michael Cherny: Good afternoon. And again, congratulations on ending the year strong. Maybe if I can just kind of follow-up on Brian's question a bit. I'm going to keep it at one here, but relative to the macro dynamic, I think it's certainly prudent that you're taking the stance here of uncertainty. We're seeing it across the board. And that being said, certainly over the course of the most recent quarter, there was uncertainty, maybe not the actual news around tariffs most favored nation, but at least this specter of the potential for some type of drug pricing constraints going as far back as the inauguration. Even along those lines, you still did an NRR of 119% over the course of the quarter, stronger with your largest customers. So maybe if we dovetail all these together, is there anything we can look back in the time that you've been a company over the last few years, maybe during COVID or anything along those lines where there's been that level of trepidation where you've seen some real-time pausing, so we can compare how to factor in what clearly might be a macro-oriented short-term pause against what has obviously been a strong trend even when you take away the change in timing. I know that's a convolute question, but I appreciate any more macro color you have. Thanks.
Anna Bryson: Yeah. Thanks for the question, Michael. And we've certainly gone through tons of evolutions as a business over the last several years with changes. We had COVID that was a huge tailwind for our business. And then as you know, we experienced some upsell downside post COVID when there was return to office and a macro downturn. So I think one of the biggest things for us as we're looking ahead to next year is one of our biggest learnings over the past, I'd say, three to five years as we've seen things change is, our upsells can be more variable. So when we think about the next three to five months, while as Jeff mentioned, and as I've mentioned, we have not yet seen any slowdown in our business and we continue to have a ton of excitement for our products from our clients. We also know that these dollars are a little more variable. So that's one of the biggest parts of our guidance that we're baking in to be a little bit more prudent, which is why we're talking about the clients' budget growth being more on that 5% range as opposed to the 7% range. So the biggest factor here as we look ahead over the next 12 months will be what our clients' budgets look like. And as you mentioned, we've been in policy uncertainty for six months now and we haven't seen the slowdown. So of course, we're hopeful that we won't. But once again, as we're guiding out the next 12 months, we think it's the right thing to do to be prudent that we could see a slowdown.
Operator: The next question comes from Elizabeth Anderson, Evercore ISI.
Elizabeth Anderson: Hi guys. Congrats on the quarter. Thanks so much for the question. I was wondering if you could talk to us a little bit more about some of your other business assumptions for the quarter, sort of like more on the physician recruitment side and maybe point-of-care formulary. Obviously, you've had strength across a number of those products recently. So I just want to sort of understand how you're balancing those out and thinking about those in terms of FY '26? Thanks.
Anna Bryson: Hey, Elizabeth, thanks for the question. Yeah, a couple of things there. So as we talked about before, our pharma business has led our growth over the past year and a big part of that growth was our formulary and our point-of-care products. And we're really excited to continue to see the traction there this next year and especially within our integrated offerings and selling those modules on a package basis and optimizing those programs for our clients. So we still believe, as we said in our prepared remarks, that pharma will remain our fastest growing business. And as far as the other businesses you were asking about recruiting and health systems, we have definitely seen marginal improvement in our health systems business over the last six to nine months. Our subscription enterprise offering is actually doing particularly well there, but we also do appreciate once again that health systems are typically more near term impacted by policy changes and macro uncertainty. So our guidance doesn't necessarily assume we're going to see any continued momentum there.
Elizabeth Anderson: Got it. That's super helpful. And if we think about sort of the share gain commentary you guys offered in the prepared remarks, could you unpack that a little bit more? Like are you seeing it, is it sort of just in terms of the offering? Are you seeing dollar shift? I'd just be curious to sort of hear what you're hearing from customers in that regard?
Anna Bryson: Yeah, sorry about that, Elizabeth. I had a mute button issue there. Yeah, we are definitely continuing to see very strong share gains. I think there's a couple of things. The first thing I'll point to is, as we just mentioned, we did see an inflection point last year in our workflow modules. Our clients are really starting to now think about these modules as core modules, a truly diversified channel and it's helped us capture a larger share of our overall client budgets. So that's helped us grow at faster than 2x the market rate last year. And the second point I'll make is our client portal. So the insights from our client portal has helped our customers make buying decisions based on real-time ROI and recommendations that we've been able to help with. That has also certainly helped us take share. So I'd say those are the two pieces over the last year that we're excited once again to see ahead over the next three to five years as well. But those are the two pieces that we're really responsible for the large share gains we took this past year.
Elizabeth Anderson: Super helpful. Thank you.
Operator: The next question today is Scott Berg, Needham.
Ryan MacDonald: Hi, this is Ryan MacDonald on for Scott Berg. Congrats on a great quarter. Jeff, you mentioned obviously having the Pharma Client summit a couple of weeks ago. I'm curious if the no Handouts for Drug Advertisements Act was brought up at all in conversations, particularly because it seems like if this kind of goes through here, you'd have these tax deductions for direct-to-consumer marketing that would go away. I wonder if this actually has the potential to be a positive for your business as you might see some greater shift in mix of spend towards HCP channel in benefiting Doximity, but would just love to hear your comments on maybe what clients are saying about that potential tailwind there?
Jeff Tangney: Hey, Ryan. Yeah, good question. I think there has been a lot of interesting discussion recently around the role of DTC by the administration, how much has increased, how much has decreased. There's kind of been bipartisan increase in things like price transparency, which we think can be good for the world. And there's also been a focus on extra middle-men in the chain that can hurt our partners and our physicians patients, which we certainly are glad at getting looked at. We don't really have anything in this space or anything that we're actively hearing from our clients to report on at this time. I will say our clients usually have a completely separate team for DTC. So those sorts of crossovers when they do occur are often more gradual than acute, just like the shift to digital. But that said, we do actively invest in products like our formulary module that is focused around transparency for physicians and of course, downstream to patients, which many of them are increasingly seeking availability and accessibility data when they're considering therapies. And so modules like that I think are responsive to trends in both administration driven priorities, but also physician and patient driven priorities are things that we plan to continue to invest in.
Ryan MacDonald: Thanks for the color there. Anna, maybe as a follow-up for you. You mentioned last quarter on the call that the success of the integrated programs really pulled forward some spend in program launches earlier in the year. Just curious now that we're sort of five months into the year, are you seeing any notable changes in seasonality or how we should be thinking about seasonality of the business as we progress through the remainder of the calendar year here, please? Thanks.
Anna Bryson: Yeah. Thanks for the question. We're super excited by the integrated programs in case you can't tell. I think it's one of the better things we've come out with for our clients over the last several years. And we did launch a ton of those programs in January, as you mentioned, and that did contribute to a few points of revenue growth upside in fiscal 2025. And what we're so excited for about these integrated programs is that they should theoretically over the long-term, create a more predictable and consistent revenue curve for us year-to-year. I think as of right now, we're still in that transition phase and we'll likely see a revenue curve that looks pretty similar to this past year. But as we look ahead over the next three years or so, as we get more clients into these integrated programs that have January starts and December completions, it's only better for our revenue predictability, our visibility as well as what the revenue curve will look like in the shape of the year. So I think this is a huge step forward for us to get to that more consistent curve.
Ryan MacDonald: Thanks. Congrats again.
Operator: We'll go next to Jared Haase, William Blair.
Jared Haase: Hey, good afternoon and thanks for taking the questions. Maybe I'll ask another one kind of around the market share gain commentary. And I guess with respect to the outlook for the 5% to 7% market growth sort of still intact here, I'm curious if you're seeing anything incremental in terms of how budgets are being allocated across digital channels. So thinking programmatic, obviously, network platforms like Doximity, other channels that might be at the point-of-care like the EHR. Are you seeing any incremental changes in terms of how budgets are being sort of the mix of those budgets across those different channels?
Jeff Tangney: Yeah. Thanks, Jared. This is Jeff. Yeah. So again, we've seen no signs of the market growth rate slowing down yet. But again, we are looking at the uncertainty from a policy perspective and assuming it will go to the bottom-end of our range, which is 5%. Talking about some of the other channels that are out there, I'd say, I think they're not gaining share, at least not at the pace that we are. And it really just comes back again to ROI, right? Does it really reach the right person and does it really get that person thinking? And again, I think it's been a flight to quality that we've seen among our clients. They're leaning more into what they call endemic because that's what they're seeing work. I will share a couple of our largest clients told us a year ago that they were really going to try out and experiment more in the programmatic space, and in other spaces. And just catching up with them this last week, they told me that those experiments that they ran, well, they didn't work or at least they didn't work to the level of return that they've seen with the programs that they're doing with us. So again, I think we're gaining more share there against a host of competing options.
Jared Haase: Got it. That's nice to hear. And then, Jeff, maybe another one for you. You talked a little bit about kind of the nice traction with the newsfeed in the quarter. Just wanted to get an update on sort of the status of kind of the ad load across that newsfeed, how much more room do you see for incremental advertising content within that application? And I guess relative to some of the newer products that you've launched and had some success with recently, how important do you think the newsfeed will be to the growth story over the next few years?
Jeff Tangney: Yeah. Thanks, Jared. Well, first, I'll just say, our clients and I were over the moon that we saw a 30% increase, more than 30% year-on-year in our number of articles tapped in our newsfeed. So I think we have really become the newsfeed of medicine, the place that doctors come to stay up-to-date on the latest news. And with a decade now of first party data on what their clinical interests are, I think we're just in a strong position to continue to deliver them the news that they need. I will point that there are others that I assume we are taking share from there. Our clients are telling us about that. You can look online and see that MedX or MedTwitter is not flourishing, right? So there's just less of that there. So I think we're seeing some migration, I think from other platforms to our platform, which again has been to our net benefit. To your question about ad load, our ad load really hasn't increased. I would say what's happened is it's now spread across more channels. And this is really where our workflow channel, let me give stats on each quarter. It's really been important that whole point-of-care formulary motion for us has allowed us to grow in basically a whole new vector without having to affect our newsfeed channel.
Jared Haase: That's great. Thank you.
Operator: Moving to Allen Lutz with Bank of America.
Allen Lutz: Good afternoon and thanks for taking the questions. I want to follow-up on the comments around workflow tools, point-of-care, formulary. Growth there has been really robust as -- and Jeff, you mentioned that some of your customers experience, they tried to go out and work with programmatic, maybe that didn't work. As you think about these new products that you're launching in the market, is it that your customers are -- they tried programmatic and now they're actually leaning into your newer products or are they just going back to the newsfeed? Trying to get a sense of maybe where some of that incremental spend that maybe went away as they were testing programmatic, where does that come back to in the Doximity platform?
Jeff Tangney: Yeah. Thanks for the question. This is Jeff. I'll take that. So yeah, I mean, we're really proud of our point-of-care and our formulary growth. As we announced last quarter, in our Q3, we had over 100% year-on-year growth in those workflow channels, which has certainly been great for us. To your question about how they're allocating across these other channels, I'll give some credit to our portal as well here, which has helped them see on an ongoing basis, not just in a once a year look back, but on a more frequent basis to see the true return on investment that they're seeing from our platform and the data and the results and just keeping us frankly more top-of-mind. I said when we started working on the portal a year and a half ago that our clients recognize when we talk to them, we have the best product, we have the best reach, we have the best level of engagement and interest, but we weren't the easiest to buy from, right? It took a lot of effort for them to set-up two Zoom calls with us and to get a quote and do all that. And I think our portal has really reduced that friction quite a lot. So that, again, now anytime of day or night, they can log-in and see how their programs are doing and they can also think about how they can grow them.
Allen Lutz: Thanks, Jeff. And then one for Anna. I have a question on the guidance framework. So if we take a step back and look at the guide, the initial guidance that you provided last year, I think it contemplated 7% to 9% revenue growth. I think the comparable last year was a relatively easy comparable. And then this year, you're guiding sort of this 8% to 11%. So it's higher growth from the initial guide. Even though there's a tougher comparable, there's more macro uncertainty this year versus last year arguably. So I guess, how do we square those things where I guess there are tougher comps this year, less certainty. How do you think about the framework for guidance this year compared to last year? Thanks.
Anna Bryson: Yeah, thanks for the question, Alan. And I think there's a couple of things I'll hit on here. So first and foremost, last year was really the first year we started to see our new products take-off, our workflow products and we started to see what our client portal could do for us. So we feel like we are in a much better position than we had been in years prior from a product offering perspective and from a share gain perspective. We also last year, I think we haven't yet seen our clients' budget stabilize yet. So we really weren't sure what our clients budgets were going to look like. We had seen quite a bit of deceleration post-COVID and it's been really great for us to see over the past 12 months, not only have our client budget stabilized, but marginally improved. And you can see that in our 20% year-on-year growth that we just reported for this last year. So once again, I think we feel better about our competitive position than we ever have. And we feel as though we are in a place that even if the market growth rate is on the lower-end of the range as we're forecasting here, it could be, we feel as though we have good visibility into these numbers and hitting our guidance for the year.
Allen Lutz: Great. Thank you very much.
Operator: Up next is Scott Schoenhaus in KeyBanc.
Scott Schoenhaus: Hey, team, thanks for taking my question. Anna this question is for you. I think this period a year ago, you had just over 70% of subscription revenue for the year locked in and you just made in the comments you just under 70%. And I understand the dynamics of some of the pull-forward in January for the annual contracts, but any more color on the dynamics this year versus last year? And then my follow-up question is that remaining 30%, could you provide color on how much of that is mid-year upsells versus renewals given the strong mid-year upsells that you saw last year? Thanks.
Anna Bryson: Thanks for the question, Scott. So yeah, as you mentioned, last year where we gave our initial subscription revenue guidance, we have just over 70% of that under contract. But then throughout the year, we saw stronger upsells, we had stronger annual upfront sales and with more January launches, which contributed to a revenue raise of roughly $58 million or about 11% since the start of the year. So if we did a look back at the percent of our final fiscal 2025 revenue that we had under contract to start the year, it would be closer to 60%. So this number can naturally fluctuate throughout the year depending on sales and launches. And then this is why we feel as though just under 70%, which to be clear means within a percent or two of 70% is a really prudent starting point for our business for fiscal 2026. And I think that also probably helps answer the second part of your question about what we're assuming for upsells. I think once again, given the environment we're in and knowing upsells maybe more variable, our guidance is more heavily weighted and dependent on renewals.
Scott Schoenhaus: Perfect. Thank you so much, Anna.
Operator: And Ann Samuel from JPMorgan has the next question.
Ann Samuel: Hi, thanks so much for the question. I was hoping maybe we could dig in a little bit more on point-of-care solutions. And was wondering if you could kind of speak to how we should be thinking about the composition of growth for that? Is it more clients joining and pricing versus increasing the number of sponsored calls? I know at your Analyst Day, you spoke to one in 100 calls being sponsored, but curious where we stand on that now and where we can go from here? Thanks.
Anna Bryson: Yeah. I think the great thing about point-of-care and the way we've kind of reframed our pitch around it too with our clients is that our clients are thinking about it as a truly diversified channel. So it is a unique channel from our newsfeed where our clients are almost thinking about it as if they're like buying from another company even that's how diversify the channel is. And it's an area where, as Jeff had mentioned, we have a lot of white space, a lot of unmonetized white space. And so it's an area our clients have certainly been leaning into. And so that just helped our platform increase reach and frequency for our clients. So we're really excited about that. I think we think big picture over the next three to five years, our newsfeed was our first act, our workflow tools are our second act and we think one day maybe AI will do our third act.
Ann Samuel: Great. Thank you.
Operator: The next question is Richard Close from Canaccord Genuity.
Richard Close: Yeah. First, congratulations on a strong year. Maybe diving a little bit deeper into the upsells in the portal. I guess I'm curious, are clients buying on the portal now? And if so, how is that going? And then how do you think about maybe more certainty or visibility into the in year buy-ups from buying on the portal. Just curious there?
Jeff Tangney: Yeah, this is Jeff, I'll take that. So yes, we do present recommendations in our portal and that does allow our clients to see the pricing. We do, to be clear, still have a separate contract paper flow that doesn't happen directly in the portal yet, but we're working on that. But it does allow clients to go and see the other things they can be doing and make that upsell motion, I think a lot more friction-free and seamless for our clients and our own internal teams as well. So we're excited about where that can take us. In terms of our upsell sort of frequency, I'd say the key thing I'd point to there or visibility, the key thing I'd point to there is these integrated programs are just much, much more visible for us as a company because again, we're effectively putting all of our channels together, they're buying the whole bag, if you will. And then we're allowed to go and again, optimize the right content at the right time for the right doctor. And that I think will be a meaningful improvement, as Anna has said to our revenue visibility in future years. This is the first year we're going through it. So I think we're being cautious about how it will improve our visibility and these upsell cycles. But I will say it's a hard win for us contractually in terms of terms with our clients. And I think a sign again of how much they give us a seat at their strategy table and view us as this long-term partner, not as a, you know, quarterly buy.
Richard Close: Okay, that's helpful. Thank you.
Operator: The next question is from Jessica Tassan, Piper Sandler.
Jessica Tassan: Hi guys. Thank you so much for taking the questions and congrats on the year. I was hoping maybe, Anna, you could help us understand the revenue cadence over the course of the year, just appreciating the high-level of visibility, kind of what explains the implied sequential step-up from like F-1Q to F-2Q and given the early launches in January, it would just be helpful to hear how we should be thinking about F-1Q, F-2Q to F-3Q? Thanks.
Anna Bryson: Yeah, thanks for the question, Jess. So the nature of our customers' buying cycle is such that as you know, they deploy about 65% to 70% of their budgets upfront and then they upsell throughout the year. One of the things we are super excited about this year is getting our programs live in January. So getting our clients to have that uninterrupted presence on channel. Then throughout the year, though, as they're upselling on top of those programs, that leads to natural step-ups throughout the year. And so we believe going forward, we'll continue to see a Q3 that is going to be our highest quarter because our customers are adding on to their programs. So even with these integrated programs, we believe we'll continue to see that step-up. And the other thing I'll say with integrated programs that we're excited by and we'll see how it goes. It's still obviously very, very new for us. But when our clients are making their upsell decisions, especially now that we have our client portal that helps track real-time ROI, having that longer time on channel starting in January as opposed to starting in April and having, say, six months to track your program performance and see how well it's performing on Doximity, we actually think these January launches could help our upsell cycle. So once again, we're not baking that into our guidance because it's still too early and it's really the first year we're running these programs. But we think they could group to be actually very beneficial for us as we get into the upsell season.
Jessica Tassan: That's really helpful. Thank you. And then my quick follow-up would be just as you think about the workflow tools, I think you all have talked about that opportunity as being commensurate in size to the newsfeed. And so I'm curious if we should think about kind of the two tools, so point-of-care and formulary as being the sum of workflow, meaning that those two products can basically double the TAM from newsfeed and that potentially monetizing AI or Dox GPT would be then an additional opportunity from there or should we think about that as part of the workflow as well? Thanks again.
Anna Bryson: Yeah. Thanks for the question, Jess. And it's the former. So as I mentioned before, newsfeed was our first act. It's still our largest revenue driver. Workflow has now become our second act. It's been a huge growth driver for us over the past year or so. And then as we look ahead, we're not going to give a specific time-frame on this, but as we look ahead, we believe that AI could be our third act. And those are three truly distinct channels that will be truly distinct products for our clients.
Operator: The next question today comes from Steven Veliquette, Mizuho Securities.
Steven Veliquette: Hey, good afternoon. Thanks for taking the question. I also have a question just around the guidance. When thinking about the implied growth rates for revenue and EBITDA in the fiscal first quarter, they're essentially right at the midpoints of the full year growth rates within the FY ‘26 guidance revenue and EBITDA. So I guess a couple of things just to try to confirm. One, as far as the macro-environment risk, you said you're not seeing any impact yet, but just confirm yes or no, is there anything baked into the fiscal 1Q guidance for any macro risk? And how should we think about the impact when -- just from a modeling perspective, maybe just assume more impact in the back half of the fiscal year versus first half I know there's no perfect answer to it, but just want to get your high-level thoughts around that? Thanks.
Anna Bryson: Yeah, I'll answer the last part of the question first. I think once we get back to the integrated programs, I think we'll see a little bit more stability in our revenue growth cadence throughout the year. As far as Q1 specifically, the first point I'll make is about the comparison period. As you might remember, last Q1, saw an uplift from a lot of spring program launches, but this year back to the integrated programs, we're seeing more stability, which once again, we believe is best for the predictability of our revenue curve long-term. And then as far as your question about if we have any macro assumptions baked into Q1, we are being cautious in our upsell assumptions for this quarter, given that general macro uncertainty, upsells typically start around this time period. So that is baked into our Q1 guidance.
Steven Veliquette: Got it. Okay. Thanks.
Operator: Jeff Garro from Stephens has the next question.
Jeff Garro: Yeah, good afternoon. Thanks for taking the question. To put maybe a different lens on FY ‘26 revenue drivers. Could you help us think through NRR expectations versus anticipated contributions from new customers?
Anna Bryson: Yeah, absolutely. I'm happy to take that question. So I think first and foremost, we do continue to believe that our larger customers will lead our growth. But that said, we just saw exciting traction amongst SMB and amongst newer customers over the past six to nine months, especially with our agency partner program, that's actually helped us bring in many new six figure clients. So we do think that SMB could be a nice growth vector for us, especially over the long-term. As a reminder, if we think big picture, we only work with just over 10% of brands that have less than $100 million in US sales. So we're really excited about bringing our insights and partnership to more of them over-time. So I do think we'll see some SMB traction this year. That said, the nature of our business is such that the largest clients will continue to lead our growth.
Jeff Garro: Excellent. I appreciate that. And so a quick follow-up to try to put a little bit of a macro spin on it. Could you help us with any comments on expectations for new drug approvals over the next 12 months and whether the velocity of approvals and new -- on new treatments entering the market has any impact on your revenue outlook for FY ‘26? Thanks again.
Jeff Tangney: Hi, Jeff. Yeah, great questions. Of course, as you know, it is still early and there has been material policy uncertainty here with the administration, particularly around that topic. So we're taking a more cautious and a longer approach to the market there. I will say though, if you look at the science, it's an exciting era for humanity and the future of medicine. I mean, there are new therapies getting ready that are anticipated for the next few years ranging from rare disease, metabolic disruptors, oncology, neurology, cardiology, advanced therapeutic techniques in the cell and gene therapy space. And of course, a continuation of what is now a blockbuster battle out there. So while there is uncertainty downstream of new priorities that can be seen as tough on pharma, there's also other statements that can be seen as streamlined processes for getting new therapies approved and out the door or equalization such as what we're seeing in the repeal of potentially the small molecule penalty in the IRA. So we'll be monitoring just like everyone else is. But I think if you looked at the US pharma ETF which some look to as kind of a bellwether for the industry, it's down less than 3% year-to-date and the day that the most recent executive order was announced around the essential Most Favored Nation policies, I mean, pharma stocks in general were up. I'll end by noting that we're a relatively well insulated platform. At the moment, I'm not sure our products are particularly uniquely exposed in a positive or negative way compared to the rest of the industry with one exception and that's our leading ROI, which can make us really a preferred anchor strategy even when budgets get tight. Efficiency driven environments can favor proven high ROI digital.
Jeff Garro: Great. Thanks again.
Operator: The next question is from David Roman, Goldman Sachs.
David Roman: Thank you. Good afternoon, everybody. I wanted just to come back and try to put some of the pieces together on the multi-module products because I think when I reflect back to the last call, it was very early in the adoption curve of those products. And as I kind of look at where we are today and at least try to reflect your comments on what's implied in the guidance, it sounds like either we've -- you've marched through that very quickly or reaching potentially a peak at an earlier than expected. How should we think about the just evolution of the commentary on those products from where we were in at the time of the last call to where we are today?
Jeff Tangney: Yeah. Thanks, David. This is Jeff. I'll just say our multi-module products are doing really well. I mean, as we said on last quarter's call, we expect our point-of-care and formulary modules to be a nine-figure business for us this year. So to the prior questions about how big are these additional channels, the answer is very large. And the great news is now that we're getting more and more ROI reports back from clients who tried these new modules. Their ROIs are great and we're able to show that to them more frequently with our portal. That's going really well. And the way this works inside big pharma is that it does take a year or two to sort of prove yourself as a high ROI vehicle. But then once you do, more folks lean in. And I can tell you, again, point-of-care and formulary are newer modules, they still have yet to be adopted by more than low double-digit percentages of our client base of our brands. So we still see a lot of room there to grow, again, just expanding the proven ROI story we have with our proven land and expand approach, more brands inside the same clients. So in terms of multi-modules, I think that really is these integrated programs that we're so excited about. It does allow us to optimize for our clients. The results that they're seeing so far have been just really strong. And from our point of view, it has put us in a stronger position to negotiate contracts that are larger, longer in length and are very predictable in terms of their launch date. The launch dates that we have in these integrated contracts are not dependent on the client, which is great, right? We're not stuck in that medical legal review cycle of January, February of years past. And again, that's, I think a long-term big win for the business.
David Roman: Very helpful. And maybe just a follow-up on just the engagement side. Can you maybe help us -- you've talked a lot about the e-newsletter as a key opportunity. But can you maybe help us think through the mix of engagement on the platform between e-newsletter, physicians logging in, searching content proactively, use of the workflow tool, et cetera, and maybe how that's just kind of evolved over-time?
Jeff Tangney: Yeah. So we don't have an e-newsletter product. So just -- so I'm clear on that front. We do have a newsfeed product. And as we mentioned last quarter, we had over 1 million unique prescribers using our newsfeed last quarter on the call. And then this quarter, we announced we hit a new record. So we're obviously above that 1 million user mark. And again, this quarter, we also announced that we had 30% growth in the number of articles tapped in that newsfeed year-on-year, which again speaks to its continued use adoption and growth. So yeah, no, we feel really good about how we're -- the newsfeed of medicine delivering in the news that doctors need to know, want to know on a very frequent basis. We also feel good about our new channels, as I've already described. And again, they're sold to a minority of our clients to-date. But again, we see them being just as large as our newsfeed business.
Operator: The next question today comes from Jailendra Singh from Truist.
Jailendra Singh: Thank you and thanks for taking my questions. First, a quick follow-up on the client portal in your comment that Daily Portal Insights are driving client interest in AI powered offerings for them. Are you able to monetize these AI-powered offerings? And around what percentage of your pharma clients who are on the portal are using these AI powered offerings at this point? And kind of related to that, as we think about all these new solutions for pharma and users you're seeing in the provider side, what is your updated view on 10:1 ROI you have talked about for pharma clients in the past?
Jeff Tangney: Sure. Yeah. I mean, we spend a lot of time investing in that. We have a great team on this. We have to admit we made some investments to our teams. We've hired in some executives from YouTube and Facebook and places that I think are upping our knowledge of how to think about video modules and pull that together. I would just let some good insights for our clients. But I mean, the key thing you hit on yourself, Jailendra, which is showing them their ROI on a more frequent basis and letting them go and see their program results literally on a daily basis with daily refreshes has increased our level of partnership and trust and transparency in a way that's just been very positive for our strategic relationships with our clients.
Operator: Our next question today comes from Craig Hettenbach from Morgan Stanley.
Craig Hettenbach: Thanks. Jeff, just going back to your comment of low double-digit penetration for kind of point-of-care, is there anything you're doing from a sales perspective to kind of continue to push the momentum in that product and kind of how you see that evolving this year and beyond?
Jeff Tangney: Yeah. Great question, Craig. This is where I'll give a shout-out to Lisa Greenbaum, our Chief Commercial Officer. She's really just done a terrific job of making sure our whole team understands how this product works at a detailed level. She's, I think, really instituted a lot of rigor in our sales training and she calls it being credentialed internally on the ability to talk about point-of-care. So I think that's really helped us as an organization do a better job of the N+1 product. And I think this is an important matrix scalability for us as an organization as we add these new channels that we have the rigor internally to make sure our full team is up to speed on handling all the questions and helping our clients optimize their programs and ROI with each of our channels. In addition, of course, we have internal marketing managers who are tasked with owning the numbers for each of these modules and products and they're getting stronger and stronger in the organization as we help our sales teams again be a N+1 product sales team as opposed to just a two or three product sales team.
Craig Hettenbach: Got it. And then just as a follow-up, cash approaching $1 billion, you talked on the call about kind of investing in technology and AI, any thoughts there in terms of kind of how you're looking to put cash to work in organic and inorganic potential investments?
Nate Gross: Sure. Hey, this is Nate. So we have really good active exposure to opportunities in the market right now. And I will say things are starting to look a little more interesting from a valuation perspective than prior quarters. So we're actively studying the market. We're getting approached by really everything from software to AI transforming what was historically a service and that was an AI enabled service, as you might expect due to our user distribution and our partner distribution. So we'll be optimistic. Again, our culture here going back 15 years now is super disciplined and is value sensitive and R&D team forward as ever. And we're really lucky to be able to make decisions with this high-quality bar focus on true platform fit, not say forced into inorganic revenue growth or something like that. And we have a phenomenal and quite large, the largest R&D team serving medicine group of engineers and product designers who can often build the sort of tech in-house. So we're constantly thoughtful about our use of cash when we're building our flywheel and we won't hesitate to make a move when we need to, but it will always be towards being truly thoughtful about expanding our market opportunities and serving doctors.
Operator: And ladies and gentlemen, that is all the time we have for questions today. This does conclude our conference. We would like to thank you all for your participation. You may now disconnect.